Estelle Brachlianoff : Good morning, everyone, and thanks for joining us for this conference call to present Veolia's 2024 results, and I'm accompanied by Emmanuelle Menning, our CFO. First and foremost, our 2024 results are very strong and this is in spite of a rather challenging environment. All our targets were achieved or even exceeded, this is thanks to our unique positioning as well as our agility in the delivery of our efficiency programs. 2024 was also the first year of our 4-year GreenUp plan, which, as you know, represents another step forward in the group strategy. Enhanced growth in our Booster activities and geographies, combined with resilience in our Strongholds, creating value and EPS growth associated with an ambitious environmental and multi-performance trajectory. Our 2025 objectives are ambitious and we are raising our synergy targets. And finally, and this is a first for the group. I have decided to launch a share buyback plan from 2025 to 2027 designed to neutralize the impact of the employee shareholding program. On Slide 5, you will see our 2024 results, which are once again very strong. All of our targets were achieved or exceeded. Revenue grew by 5% excluding energy price, a growth which is significantly higher than the typical 2% to 3% we have been delivering over the last few years and particularly before the Suez merger. Our Booster activities in particular, this is Water Technologies, Hazardous Waste and Bioenergy, grew by 6.6%. We have naturally enhanced our profitability, and again, despite a rather unhelpful environment by exceeding our efficiency and synergies target for the year. EBITDA increased by 5.8% at the high end of our guidance to €6,788 million, lifting our EBITDA margin by 80 basis points to 15.2%. Current net income grew by 14.6% to €1.530 billion, a record high for the group and double that of 2019, above €1.5 billion as guided. And current EPS increased by 12.4% to €2.13. Finally, thanks to our strong free cash flow generation and the divestiture of nonstrategic assets, we ended the year with a lower debt than targeted and a comfortable leverage ratio of 2.63x, which is better than expectations. In view of these very strong results, we have proposed to increase the dividend accordingly by 12% to €1.40, and I'm on Slide 6. This chart shows you the very significant dividend growth we have been delivering over the past years even if you exclude the COVID year. Our ambition in the GreenUp for the years '24 to '27 is to go on delivering steady growth of our net result and dividend, as guided. In parallel, and as you know, employee shareholding as well as long-term incentive at Veolia are key components of our success and strategy and it clearly aligns interests. I have decided to make our GreenUp objective even more value creating for our shareholders by compensating from 2025 the dilutive impact of our employee shareholding program until the end of the GreenUp plan. This decision is grounded in our strong confidence in our value-creation process, free cash flow generation and financial solidity. This is a first as the group had never implemented a share back program before. On Slide 7, the very strong 2024 results testify on an even stronger underlying performance and our ability to react quickly and strongly to headwinds. Indeed, the environment in 2024 was quite challenging from a macro, but also from a political perspective, notably in France and in Europe, without even mentioning the lag effect of the energy crisis, which started in 2022 with the war in Ukraine and energy prices now coming down after 2 exceptional years. And as expected, Veolia has proven its combination of resilience and growth, thanks to our strategic choices, unique positioning as well as the specific efficiency program we've put in place in France, Spain and China and the faster delivery of synergies. In numbers, if you look at our EBITDA growth in '24, adaptability and agility have helped us to compensate for a negative minus 2% external factors, such as commodity prices or weather, leading us to achieve the upper end of our target at 5.8%. I'm on Slide 8. Ultimately, Veolia stock is really a combination of resilience and growth as demonstrated in the last few years when we managed to increase our result in volatile energy prices, difficult macro in Europe, political and geopolitical uncertainty, high inflation and interest rates. This is thanks to what I call our winning formula based on 4 key features. The first of these features is an enhanced growth. Our organic growth is now around 5% compared to 3% from 2016 to 2019, and this is clearly the result of strategic choices. First, the acquisition of Suez, which not only is delivering cost but revenue synergies; second, our Booster activities identified as priorities in GreenUp, which grew faster than our very resilient Strongholds activities. The second key competitive advantage of the group is a worldwide footprint. France is now only 20% of the group's revenue. 80% is international, of which 38% is outside Europe with more than $5 billion in the U.S. Third, continued value-creation and attention to delivery. And just to mention 2 figures, the current net income doubled in 5 years from €760 million to €1.530 billion; and ROCE at the end of 2024 hit at 8.8% after tax, a higher level than prior to COVID and actually a historic high for Veolia and 320 basis points above our weighted average cost of capital. Finally, Veolia as a world leader in environmental services is a unique combination of businesses: Waste, Water and Energy. This is a huge strength and a significant share of our turnover comes from combining our businesses, from Water Tech to Water Ops, Bioenergy from waste and water or pollutant removal. PFAS is a good illustration of this where combining water Tech, Water operation and Hazardous Waste in our end-to-end offer has already enabled us to achieve €205 million of revenue in '24 from 0 two years ago. So a significant growth. I will now detail how our 3 levers of value creation, namely, growth, performance and capital allocation have been delivering in 2024, starting with growth on Slide 9. 70% of the group consists of Strongholds activities, namely, Water operations, Solid Waste and District Heating and Cooling Networks. They offer resilient and solid foundations as those activities are macro immune, protected from inflation, infrastructure based and often regulated. They grew by 4.4% in 2024 to €32.186 billion. 30% of the group are our Boosters on which we are investing 50% of our growth CapEx and focusing our M&A. Those are the Water Technologies, Hazardous Waste and Bioenergy, Flexibility and Energy Efficiency activities. They grew by 6.6% in 2024 to €12.506 billion, in the range we anticipate for GreenUp, that is mid- to high single-digit growth. Finally, our Booster geographies, outside Europe will go faster than other geographies, namely, the U.S., Australia and the Middle East. These 3 regions, combined, grew by 6.3% at constant scope and ForEx versus 5% for the group as a whole. In other words, for the first year of GreenUp, our Boosters have already boosted our growth. Let's now have a quick look at each of the Booster performance in 2024, and I'm on Slide 10. Water Technologies revenue increased by 7% to €4.973 billion. We were awarded 4 desalination projects in the Middle East and hit a record high level of bookings of €5.7 billion, thanks notably to our 5 business priorities. Desalination is one of them, but there is also water reuse, strategic metal recovery, ultra-pure water and micropollutant removals. Hazardous Waste revenue increased by 7.1% to €4.276 billion. We very satisfied with the very strong growth in Europe and this is despite industrial macro. Europe is around -- up around 10%. We have delivered continued solid growth in the U.S. and started new operations in the Emirates. We continue with the construction of our new capacity in Arkansas as well as 4 other plants across the globe, which will ramp up from 2025 onwards. Bioenergy, Flexibility and Energy Efficiency revenue was up 5.3%, excluding energy price. We are back in Energy to a normalized level after a very high point in 2023. Let's now have a look at the strong growth performance in '24, and I'm on Slide 11. Water operations revenue increased by 5.1% to €13.060 billion. This is despite contracted volume due to weather conditions. We continued to benefit from good indexation, successful tariff renegotiation in Spain and all rate cases were approved in our U.S. regulated operations. We also enjoyed several major commercial successes, notably the renewal of our biggest contract in France with SEDIF for 12 years' worth €4 billion. Overall, we maintain our very high renewal rate, above 90%. I'm particularly proud of the EBITDA performance of our Water operations, up 8.7%, thanks notably to specific efficiency plan in France, Spain, which we launched late 2023. Solid Waste revenue grew by a hefty 6.2% to more than €11 billion and this is despite sluggish macro, thanks to good commercial momentum as well as pricing. We continued to enjoy a close to 90% renewal rate in Municipal and C&I contracts. District Heating and Cooling Networks revenue was stable, plus 0.7%, excluding energy price, with a negative weather effect. As you know, we are delivering essential heating services largely regulated and protected. Our electricity revenue is hedged and the bonus we earned in '23 from exceptionally high electricity price was offset, as planned. The second lever of value creation for Veolia is performance, and I'm on Slide 12. Let's start with the synergies. As briefly explained in my introduction, we continued to deliver in '24 a very high level of synergies, €120 million, and reached €435 million accumulated, ahead of the year's target, which we -- had already been raised. Therefore, I decided to increase the overall objective of synergies from €500 million to €530 million at the end of '25. It is worth noting that the target of €500 million was already very ambitious as it was initially designed for larger parameters, including notably Suez waste activities in the U.K. And we finally decided to divest those activities for antitrust reasons, but left the target unchanged. I'm on Slide 30. Regarding yearly efficiency gain, reached €398 million against a yearly target of €350 million. This over-performance includes specific action plans we launched in Spain, France and China in late 2023 in order to face specific challenges and led those business units' EBITDA to improve notably in '24, again, a demonstration of our agility. Efficiency gains at Veolia are not discretionary cost-cutting programs of which you could question the continuity. Rather, they are totally embedded in our business model and in what we sell to our clients. This is process optimization, energy efficiency, upselling, digital gains. We cannot retain, of course, all the gain in the EBITDA as we share them with our clients. Our retention rates have been between 30% and 50%, and it was particularly high in '24 due to a favorable inflation environment. Digital is a prime example to show how we look constantly for new efficiency levers. Digital gain already represents 15% of our operational efficiency. But we are now moving quickly with Gen AI. The new partnership with Mistral AI, a worldwide first, is a good illustration of this. Value creation at Veolia is also the result of continued active portfolio management, as shown on Slide 14. We set business priorities for the GreenUp plan, which include €2 billion of net acquisition over 4 years, net of divestitures, of course, in addition to growth CapEx. Both are clearly prioritized towards Boosters as 2024 illustrates. In 2024, we invested in 5 new Hazardous Waste plants to be commissioned and ramped up from '25. We also invested in decarbonization and coal exit in Central and Eastern Europe with double-digit IRR projects. Finally, we made several tuck-in acquisitions in Bioenergy and Energy Efficiency in Spain. On the other hand, we maintained a strict discipline over maintenance CapEx, which has not grown in '24, even slightly reduced. The Slide 15 summarizes the 3 levers of value creation at Veolia as just detailed: superb growth, performance and smart capital allocation. On the latter, one more thing. We have, in '24, closed faster than expected the divestiture of some of nonstrategic assets, Lydec, SADE, RGS for €1 billion while tuck-in acquisition amounted to €641 million. This, combined with strict free cash flow generation, led to quite strong financial headroom at the end of the year with a leverage ratio of only 2.63x and post-tax ROCE of 8.8%, a historical high. Let's now look ahead to 2025 on Slide 16. We have good visibility and confidence in earnings growth in 2025 despite a very uncertain environment and unfavorable external factors such as energy price and commodities. Naturally, we are continuing our effort to achieve operational efficiency and we are raising our synergy target to €530 million at the end of '25. All these factors enable us to target for 2025 a solid revenue growth, excluding energy price, organic EBITDA growth of between 5% and 6%, current net income growth of around 9% and leverage of less than 3x, a dividend growth in line with current EPS growth. And what is new, we are launching a share buyback program to offset the dilution of the employee shareholding program so that, going forward, current net income and current EPS growth are aligned. I now hand over to Emmanuelle, who will detail the 2024 results. And I will conclude afterwards before taking your questions.
Emmanuelle Menning : Thank you, Estelle, and good morning, everyone. Our full year 2024 results are once again excellent. We have demonstrated that even in a complex economic environment, Veolia is able to deliver fast-growing results. Revenue was up 5%, excluding energy prices, to €44.7 billion. And EBITDA grew sharply by 5.8% to €6.788 billion. It is worth noting that we had a very strong Q4 with an acceleration of EBITDA growth to plus 5.6% after plus 5.6% in the first 9 months. Current EBIT grew by 7.9%. The current net income increased even faster to €1.530 billion, up 14.6%. And our EPS reached €2.13, up 12.3% versus last year. And net income group share rose by an exceptional 17.1%. Net financial debt reached €17.8 billion, lower than expected, thanks to strong free cash flow generation and dynamic asset arbitrage. As a result, our leverage ratio was 2.63x, below last year and well below our guidance under 3x. Our balance sheet is therefore very strong, which gives us a lot of flexibility in terms of capital allocation in favor of the most value-creating opportunities for our shareholders and the group: tuck-in M&A, discretionary CapEx, dividend policy or share buyback. I decided to start with our ROCE evolution. First, because ROCE is the most appropriate indicator to assess our value creation given the variety of our business model, some being more capital-intensive than other, and also because we have succeeded in increasing ROCE by 120 basis points to 8.8% in only 2 years, which is outstanding, especially compared to WACC of 5.6%. We are above 2019 ROCE before COVID and before the Suez acquisition, which has significantly increased our capital employed. Our target is between 9% and 10%, and we will surely achieve it. Moving to Slide 20. You can see the revenue evolution by geographical segment, Water Tech, Rest of the World, Rest of Europe and France. I will start with Water Technology, which is one of our 3 Boosters. It delivered another very strong year, both in terms of revenue and bookings. Revenue was up plus 7% with sustained growth in all our business -- line of business. And EBITDA is up 15.7%, benefiting from our refocusing on the highest-margin business line and from synergy delivery. In terms of booking, we achieved a record level of bookings of €5.7 billion with big wins in microelectronics, oil and gas and desalination. In the Rest of the World, revenue was up 5.3% and EBITDA grew by 11%, thanks notably to our Booster geographies, Australia, Middle East and the U.S. Rest of the World revenue was up plus 4.5%, excluding energy prices with stable EBITDA despite lower energy prices. And finally, in France, after a difficult to '23, we continued turning the tide in 2024. Revenue grew by 4%, a significant improvement; and EBITDA grew by 7.7%. Now let's take a look at our performance by business. First business focus, Water, our largest activity representing 40% of our revenue with performance was impressive in 2024. Water revenue was up plus 5.6% fueled by both our Stronghold water operation, up 5% and by the Booster Water Technology, up by 7%. As you can see, Water considerably improved their profitability in '24. Water EBITDA grew by 10% and the EBITDA margin, which was already the highest of the group, increased by 150 basis points to 18.6%. Moving to Waste activities. The year was excellent for our Waste business, which is a strong proof point of our robustness in spite of weak macro environment and also of our agility and capacity to implement efficiency actions that deliver higher results. Waste activity grew much faster than in 2023 by plus 6.4% compared to 3.4% last year thanks to continued pricing power, improved volume in Europe and good commercial momentum in the U.K., Australia and Latin America. The Stronghold Solid Waste business revenue increased by 6.2%, while EBITDA jumped by 11.2%, thanks to the performance plan implemented notably in Europe, which is resisting well despite soft macroeconomic conditions. The Booster Hazardous Waste had another very good year, notably in Europe, with revenues up by 7.1% and EBITDA up by 10.8%, which is clearly exceptional. Finally, moving to Energy, I am on Slide 23. Energy revenue is sensitive to energy prices, which were down in 2024, as forecasted, so that our revenue decreased by 10.7% and the weather was quite mild. Energy growth was plus 1.9%, excluding the energy price impact and plus 2.5% at constant weather. As you know, our energy margin is well protected from the up and down of energy prices. Given the very high comparison basis in '23 regarding electricity prices, we registered, as expected, a negative energy price impact of about €100 million in '24 at the EBITDA level. It should be much lower in 2025, and we expect our Energy EBITDA to grow again in 2025, thanks to the ramp-up of our new decarbonized assets, continued efficiencies actions, further price increases while electricity prices will be lower than in '24. You will also notice that the EBITDA of the Energy business has grown faster at constant scope than the group with an EBITDA CAGR of 10.3% between 2022 and 2024, nearly doubling the group of 6.9% per year. Slide 24 shows our revenue bridge and our top line intrinsic growth of plus 5%, and you will see that it is even stronger at the EBITDA level. ForEx had a negative impact of minus 0.5%, mostly from LatAm with a reversal in Q4. Scope impact was significant at minus €1.1 billion, higher than expected as we closed many divestitures in '24. The main item on the bridge is the lower energy prices for minus €1.6 billion with almost no impact on EBITDA. The weather impact is minus €70 million, minus 0.2%, better than last year -- in the year, thanks to a colder Q4 in Central Europe. So that the plus 5% interest growth is fueled by, first, good commercial momentum, resilient volumes, notably in Hazardous Waste in Europe, and secondly, prices and indexation as we increased tariffs faster than our cost base, which contributes to plus 2.7% for our revenue growth for €1.2 billion. On Page 25, you have our usual EBITDA bridge illustrating that external factors have played against us, whereas we have systematically over-performed on the levers in our hands. First, you can see the negative impact of ForEx and scope for a total of minus 2.1%. ForEx negative impact reached minus €70 million and scope minus €67 million. Excluding ForEx and scope, we delivered a strong organic EBITDA growth of plus 5.8% at the high end of our guidance range, fueled by the combination of a very strong intrinsic EBITDA growth of plus 7.8%, partially offset by minus 2% of negative external factors, weather and energy prices. I would like to mention here regarding efficiency gain that about 70% of them are completely recurring. We generated a gross amount of €388 million in 2024 and retained 46% at EBITDA level. Operational efficiency is really embedded in our contract performance, it is what we sell to our clients. We cannot retain 100% of the gain in EBITDA. We share them with the clients either through the life of the contract or upon renewal. And finally, by synergies, we have, indeed, been running ahead of schedule and executed integration of Suez very efficiently and above our initial expectation. We generate €120 million of new synergies in '24, reaching €435 million at year-end. We expect to deliver around €100 million of additional synergies in '25 and have, therefore, raised the overall target to €530 million instead of €500 million. We decided to intensify our efforts in France, Spain and in China with specific action plan. In France, we started a 2-year competitiveness plan in order to boost the top line, turn around the loss-making sites and contracts, optimize our structures and processes with actions already have borne fruit in '24. EBITDA grew by close to 8% to around €1.4 billion. The objective in Spain was to boost our Water activities and obtain water price increases in order to restore our profitability. We succeeded in obtaining a double-digit water price increase and launch in parallel an operational performance plan. This action enabled us to grow the EBITDA of the country by close to 23%. Finally, in China, we initiated a performance plan 2 years ago, notably to offset the impact of the decreasing Hazardous Waste activities. We decided to hand the less profitable contract, restructure Hazardous Waste, streamline our organization while revenue was still flat in China in '24. EBITDA grew significantly by 35%. Coming back to our financials, this slide illustrated perfectly the operational leverage of our business model. Let's see first how the EBITDA increased, excluding current EBIT, which is growing very steadily by 7.9% to €3.547 billion at a higher pace than EBITDA. Renewal expenses of €295 million are comparable to 2023. Amortization and OFA are slightly above last year. Industrial capital gains, net of provision and asset impairment, of €78 million is €35 million higher than last year amount, which is not significant and is due to higher asset impairments in '23. JVs are stable. The increase of 14.6% of current net income is almost double the growth of current EBIT, thanks to stable financial charges and tax rates and slightly lower net results for minority interest in '24. The cost of net financial debt is stable compared to last year at €652 million as we booked a positive one-off of €30 million in '23. Slightly higher cost of variable debt was offset by lower non-euro cost of financing. Other financial charges are comparable to last year. And the current tax rate reached 27.1% comparable to 26.5% in 2023. The decrease in noncontrolling interest is due to lower results in Central Europe after a very high level in 2023. On Page 28, let's see how current net income translates in net income group share. Net income increased by 17% to €1.098 billion compared to €937 million in 2023. Nonrecurring item, which is the sum of the 3 lines was comparable to last year and included one-off provision and associated with ongoing litigation. On Slide 29. Comparing 2024 with 2023 free cash flow improved from €1.143 billion to €1.156 billion, thanks to EBITDA increase of €245 million, another improvement in working capital requirement of €75 million and strict CapEx control despite increasing growth opportunities, including our coal exit program in Central Europe and hazardous waste facilities under construction. On Slide 30, you have the detail of the net financial debt variation where you can see the different effects I have just highlighted. Net financial debt decreased by €84 million despite €157 million of negative ForEx impact, leading to a further decrease in the leverage ratio to 2.63x. In the last 2 years, Veolia used cash coming from Suez antitrust disposals to repay debt maturities, including €364 million of convertible bonds bought back in August '24. In the upcoming years, the refinancing of bond maturities will come from new debt issuance, which we have opportunistically started at the end of last year with 2 bond issuances at very favorable market conditions. Thank you for your attention to these excellent results, which I am pleased to present. I now hand over to Estelle.
Estelle Brachlianoff : And to sum up, I'm on Slide 33. Veolia is a unique global leader in environmental services and ecological transformation. We are ideally positioned to address fast-growing demand trends across the globe from water scarcity to decontamination, to protecting human health or decarbonization. We are present in 44 countries and in each of them in the top 3 per activity. Slide 36 reminds you -- 34, sorry, reminds you of our 3 levers of value creation. This is top line growth, efficiency and capital allocation, which is the backbone of our GreenUp plan. We confirm the strategic plan GreenUp and associated objectives. They include current net income growth of 10% per year on average over the period with dividend growing in line with EPS and ROCE above 9% in 2027. Veolia is all about both resilience and growth. Finally, you have on Slide 35 the 2025 guidance I've already commented. In a nutshell, we continue to grow our results strongly, 5% to 6% for EBITDA and 9% at the net income level. And we are raising our synergy target, which is a sign of the agility of the group and our focus on profitability enhancement. The dividend will grow like current net income. And from now on and until 2027, we will offset any dilution coming from the employee shareholding plan. Last but not least, our agenda for the year is shown on Slide 36. On top of the quarterly publication and the AGM, you are all invited to participate in several sessions, notably a deep dive on waste activities in France on June 25. We will also organize 4 specific sessions, webinar dedicated to our multifaceted performance and how it creates value on March 23 -- sorry, 31. Another specific session on desalination in the Middle East in Oman on April 8. And one on innovation, tech and AI in September 2025 in the U.S. Finally, we will take advantage of the integration of our new cogeneration facility in Poznan, this is in Poland, to speak about decarbonization and energy in November. Emmanuelle and I are now ready to take all your questions.
Operator: [Operator Instructions] Your first question is from Alex Roncier from Bank of America.
Alex Roncier : I've got two, please. The first one is on the share buyback and very pleased to see that you're offsetting the employee share plan. But arguably, I think we've had across the industry a lot more debate about capital allocation. And would this first move potentially open you into a strategy whereas you could reallocate CapEx into perhaps buying back your own share but beyond offsetting the shareholder employee plan. Is that a sign of maybe a more flexible capital allocation? And then my second question is regarding working capital. We've had a couple of press reports in the last few weeks that were perhaps highlighting a little bit of an issue regarding cash upstreaming to the holding company. I think that your working capital actually was still positive for the year. So any kind of comment or color regarding cash upstreaming between the different divisions and any kind of working capital improvement would be very much appreciated.
Estelle Brachlianoff : I'm going to take the first question and leave Emmanuelle on the second. On capital allocation, I will start with we highlighted what we've announced today before you talked about other options. This is the first in the group, we've never done that. So share buyback, which we announced, dedicated to avoiding the dilution of the employee shareholding plan. Employee shareholding is quite important because it aligns the interest including with that of the shareholder, which I think is of utmost importance for the success of the group. So as I said, this is a unique thing. It's a first in the group and applies in '25, '26 and '27 until the end of the plan, which means, in other words, that going forward, EPS will grow as a net result. And I think that's super important, I'm sure, for all of you, and of course, a sign that we wanted to give, I wanted to give, to our shareholder base. In terms of capital allocation, you're right, we are quite flexible and agile. We earn money. We have a free cash flow, of course, in addition to EBITDA. And then you have to decide what to do with this money we earned and the cash we earned. So first, growth and the free cash flow we publish is after growth CapEx, and this growth is generating our future profit growth as well. I've mentioned, for instance, what we invest in hazardous waste facilities, which will create value in '25, '26, '27 onwards on a very recurring way. So it's a good investment with good IRR for everybody. Then, of course, there is an element of balance sheet. We don't want to go beyond the 3x leverage. And actually, we announced this morning a very good news on the leverage at the end of 2024 at 2.63x. And then we thought we -- our balance sheet was strong enough to allow the first, which is, again, the share buyback to compensate for the employee shareholding. This is the option I have in front of me. So I will ensure that the growth of the results stay for a very long time, which is exactly what we've guided for the GreenUp plan, 10% net result growth on average, which from now on becomes 10% EPS in other terms. Emmanuelle, for the second question.
Emmanuelle Menning : Yes. So thank you for your question. We are very satisfied with the level of free cash flow and net debt at the end of 2024. It is the result of our strong financial discipline, and we have a very strong balance sheet, so we have the improvement of our free cash flow. It is coming from EBITDA growth, CapEx control, focus on our working capital improvements and combined with relatively stable financial charges and stable tax rate. It allows us to fund our dividend policy and to generate, as mentioned by Estelle, financial headroom for M&A. So very happy for our figures with 2.62x as leverage ratio at the end of the year. You were specifically asking regarding working capital. So working capital, we had an improvement of DSO of 5 days in 2024 with a stable DPO. As you know, we have a strong cash culture so we are continuing to push to invoice faster, collect faster and also increase the collection of unpaid invoices or increase monthly direct debit. And we also mobilized a complete organization to put under control OpEx and CapEx.
Estelle Brachlianoff : 5 days DSO improvement on the company the size of Veolia is quite an amazing performance.
Operator: Your next question is from Arthur Sitbon from Morgan Stanley.
Arthur Sitbon : I have two. The first is on the action plans that you talked about for France, Spain and China. I was wondering if that could lead to potentially efficiencies on top of the €350 million of, let's say, usual efficiencies that you have on a yearly basis? Or if this is included to get there? And in particular, in China, I've noticed you talked about some hazardous waste plant projects being stopped or mothballed. I was wondering if you could provide a little bit more detail on that. The second one is just a follow-up one on the share buyback program. It's basically just trying to understand the number of shares that you avoid issuing essentially, thanks to that buyback program over 3 years, and the total potential cost of the program. And last point on that, I think there was a share buyback tax put in place in France. I was wondering about the cost of that tax to you now that you're doing buybacks and where will that be booked in your accounts.
Estelle Brachlianoff : Thank you for your question. So on the first, yes, you're right and I think this is a sign of the agility of the group. When we have places, which are a little bit more challenging, we act, we anticipate and it gives results very quickly. We launched the French, China and Spain specific plan at the end of '23 and you see already the results in the 2024 results of those 3 geographies. In terms of overall €350 million, which we've announced, again, efficiency plan for 2025. So in terms of the various elements of it, the French, Chinese and Spanish plan will go on in 2025 because we go on with the same action Emmanuelle just detailed. We go on, of course, with the efficiency plan everywhere in the world. But on the other side, we will have less inflation across the globe, which is helping or counterproductive, I guess, in terms of getting efficiency gains -- or actually retaining them. So that's a bit less pushing in the right direction. So all in all, we, as you know, retained between 30% and 50% of retention of those gains, which translates into EBITDA. It was a bit higher in 2024, probably a bit less in 2025, given the lower inflation. But of course, we always are trying to push the highest we can, and as I've explained, when we need to do an extra plan, we do it and it delivers very quickly. In terms of your question on the share buyback, the dimension will be exactly that's needed to avoid the dilution of the employee shareholding. So I cannot mention you a figure because it depends on the success of those plans. Fair to say, when you look at the last few years, it was between 1% and 2% roughly of our shareholder numbers, which we issued every year so it gives you an order of magnitude. But of course, the precise figure will depend on those. In terms of taxes, it is not included in the new taxation in France because there is a specific exception for share buyback dedicated to employee shareholders. So no specific tax. And by the way, 9% of net results increase in 2025 does include all the new announcements of increased tax in France. It does include everything.
Operator: Your next question is from Olly Jeffery from Deutsche Bank.
Olly Jeffery : Two questions, please. The first one is just looking at the performance in Q4 in volumes and commerce. I think that was, by far, your strongest quarter with around plus 5% growth in that area. What's caused that? And is that a sign that, that area going forward could be stronger than the first 3 quarters we saw in 2024? So is that repeatable in '25? And the second question is around some of the components for the EBITDA bridge into '25. On that, how do you see FX at the moment? Do you see that being a tailwind or a headwind? And whatever view you give, what is that base FX from? Is that from the end of the year or is that based on current FX? And then also within the FX bridge, could you please give your view on how you see energy prices impacting EBITDA in '25. And lastly, do you account at all within the numbers you've given today for the cold start to the year that you've seen -- what we've seen within Central and Eastern Europe and the impact that might have on the District Heating business.
Estelle Brachlianoff : I think it's all 4 questions for Emmanuelle and they all relate in a way to the same thing, which are what are the moving parts of our performance from '24 and '25 onwards. Emmanuelle.
Emmanuelle Menning : Yes, with pleasure. And you are clever, you have 4 questions in 2 questions. So let's start with your question regarding the evolution of EBITDA in Q4. You're right, we had the performance of 5.6%. We had an acceleration, 6.5% in Q4 compared to a full year of 5.8%. It comes from higher volumes and commercial, especially in Energy in Central Europe and in Asia, but also water in LatAm and Middle East. Your second question was regarding ForEx in 2025. ForEx in 2025 at the moment we expect it to be neutral. We will have the positive impact of USD partially compensated by the Australian dollar and also Central Europe currencies. It is our best estimate. As you know, we are, at the moment, applying in our budget the current ForEx that we know. So let's see. The last question that you had, it was regarding Energy in 2025. So as mentioned before, regarding the performance of energy, we were very happy to see the CAGR increase when you take the average of 2023 and 2024, which was above 10%. We have, of course, without surprise and as forecasted, a slight negative impact of energy prices in '24, which was, as you see in the bridge around €130 million. So it will decrease in '25 linked to the hedging. We roughly expect at the moment €50 million will have positive impact from less water costs and negative impact from -- in the Waste business from Energy and a slight squeeze in the Energy business. And the last one, it was the weather in 2025. So you're right, the weather in January is slightly better than last year. So we will see what will happen for the year. Just keep in mind that the Q1 2024 was the warmest that we had since the last 30 years in Central Europe. And we will see what happened with recyclate, it was a positive impact of plus 20% last year. And currently, we are penciling down a slight negative impact due to the current trends. So it's fully in line with the guidance that we have, the 5% to 6% EBITDA increase for next year.
Operator: Your next question is from Ajay Patel from Goldman Sachs.
Ajay Patel : I just wanted to take a little bit of a step back and just look at some of the numbers and just run them past you. I looked at the net debt today and it looked like it was €700 million better than consensus. And you're announcing additional synergy benefits of €30 million and there's the additional buyback. And I'm just wondering, it looked like the cash performance was very strong. How does that fit with the wider objectives for '27, i.e., are these additive to that 10% growth in earnings number that you've set for '27? Or actually, it's just fully consistent and your plan is moving in the direction that you've expected? Just to get a sense of how should I be reading today's financials.
Estelle Brachlianoff : So I can't confirm fully our guidance for 2027. But what we've seen in '24 and probably in '25 we will have a lot of moving parts. And my job is to ensure that in a way, whatever happens, we keep the back end and we keep delivering on the targets we've given you. So you are right, net debt was a very positive announcement from this morning. Synergies is raised. The buyback means that the 10%, which we guided net result becomes 10% going forward EPS. So it's kind of an improvement, if you wish, translated into EPS. But if you look at the other moving parts, macroeconomics, geopolitics and commodities prices, you know what, I don't know what they're going to be until 2027. So the good news about '24 is we've already had those very negative factors, but we've been able to compensate, and therefore, deliver either on target or even better than target. I anticipate that to be the same in '25, '26 and '27.
Ajay Patel : Can I add one more question? I'm just also thinking if you have a little bit of headroom, more than you would have maybe expected or at least we expected, when we now look out to '27, which areas are the strategic priorities for that balance sheet headroom?
Estelle Brachlianoff : Okay. That's a good question.
Ajay Patel : If there's any further details you could give here, that would be great.
Estelle Brachlianoff : I could give you colors -- color on that one. So when I have headroom, which is the case now, what did we do with it? It helps us -- so we go on with growing our business and investing in plants, which will, say, it's hazardous waste or coal exit, which are delivering good results. So that's one. So it's more going on. And then we have the option of maybe a little bit of M&A, but the M&A has to be specifically targeted so with 2 things, strategy and value-creation. Strategy, so a good candidate for M&A, and we've achieved a few in 2024, has to be within -- in priority the Booster activities, so namely, Water Tech, Hazardous Waste or Bioenergy, Flexibility and Energy Efficiency. So those 3 activities, and as well outside Europe in priority, which is where our growth Boosters are. And if it's not in those categories because it's either in Europe or in the Strongholds activities, then it has to be super value creative, not only value creative, but super value creative, typically delivering very high and quick synergies. So that's the good candidate for investing a little bit of headroom for maneuver. And in all cases, you know a strict discipline is paramount. We have a strict criteria for investing. And if you know we don't have candidates, which meet those targets, we won't do it. That's my job, to keep the strict discipline, but agility as well to seize opportunities when they arise.
Ajay Patel : And then if you just compare that, do you compare that with your current share price? As in would buybacks get compared with acquisitions and then you would pick the ones that give the best return? Or is there more of a strategic position that needs to happen or shape a portfolio that you're looking for '27 that, that comparison doesn't happen as much? Just wanted to see how buybacks fit into this, if at all.
Estelle Brachlianoff : Well, actually, in a way, we've answered this morning, we've launched a share buyback, which was never done in the group before. So allow me to start with that. But what I can say is it shows flexibility in our thinking about how we allocate our balance sheet and headroom.
Operator: Your next question is from Thomas Martin from BNP Paribas.
Thomas Martin : Just a couple of quick ones. Firstly, on the synergy side of things, I think in Water Tech you've still got the former Veolia and former Suez portions separate related to the minority shareholder. Is merging those 2 parts still something that you hope to achieve? Are there any developments on that front? And if so, could you provide any indication of what further synergies might be possible through that? Could it be material? And secondly, just a quick clarification on the scope impact. I mean, do you expect that to be a headwind in the first half of 2025 turning to a tailwind in the second half given what you've done recently.
Estelle Brachlianoff : I'm going to get the first and Emmanuelle the second. So on synergies, we've announced and have raised today the synergy target to €530 million. This is without a potential merger of the 2 specific parts of the Water Tech business, which you alluded to. So if at one point we were to do it, this will be an increase in the synergies. So the €530 million is outside and excluding this. But there is no specific plan towards that today. And I guess, what I'm very happy about is to see that without having to merge those two, we already have -- are delivering a wonderful growth of our top line and bottom line within the Water Tech business, as Emmanuelle highlighted earlier on. So we don't need this merger to go on delivering great results, neither the GreenUp plan and all the rest of it. If the opportunity were to arise, then we will see. But that's not including a plan today. Emmanuelle, for the second question?
Emmanuelle Menning : Regarding your question on perimeter. We expect in 2025 the perimeter to be neutral as we will have the full year impact of the divestiture that we did last year, the SADE business in France, the last antitrust disposal in Morocco, Lydec, and the RGS disposal in the U.S., the sulfuric acid, to be fully compensated by the few tuck-ins and bolt-ons that we have done, the flexibility assets in Hungary and few tuck-ins as in waste in Germany. So all the growth for 2025 will come from efficiencies and organic growth and the synergies.
Operator: Your next question is from Charles Swabey from HSBC.
Charles Swabey : Just one question for me. I was wondering if you could speak a little bit about the U.S. It's obviously one of your bigger geographies. I'm wondering if you could comment if you see or if you think the opportunity set there has changed with the new administration. There's obviously clearly more pro-growth, but obviously less environmentally focused.
Estelle Brachlianoff : Thank you. I guess you can imagine this question was -- I was, I guess, asked a lot and anticipated when we saw the election results in the U.S. So globally, the answer is no change for us. Why is that so? On the pro-growth business, yes, but we already have a relatively optimized tax and there wouldn't be a very, very significant impact either way. In terms of the environmental agenda in the U.S. First things first, we don't have any contract with the government, neither we depend on, say, IRS subsidies. We don't have any of it. We are working at a local level, state level and so on and so forth. Secondly, the environmental legislation, in my view, are here to stay. Just to give you an example, the PFAS legislation, which is, for instance, a driver for growth in the U.S. for us has been actually launched originally by the first Trump administration and was reaffirmed in many ways in the last few weeks. So all in all, no direct impact for us. And you might wonder how is that? So -- and I've mentioned briefly megatrends. The 2 megatrends, which are really supporting our growth in the U.S. are irrespective of the administration in Washington. This is health and the environment, such as pollutant removal. And whatever your political views, you want when you open your tap to have unpolluted water to give to your kids and yourself. And the second big megatrend is actually reshoring of strategic industries and a license to operate. Again, water is absolutely needed for critical industries such as chip manufacturing or pharmaceutical or even data center schooling. So -- and those are really key critic -- element for our industrial customer base, whatever, again, the administration in Washington and this is supporting our growth.
Operator: Your next question is from Juan Rodriguez from Kepler.
Juan Rodriguez : I still have two on my side, if I may. The first one is on tariff provisions. What have you got so far on your concession contracts? And the second is, okay, we're already at the end of February. What has been your operating performance on Q1 so far?
Estelle Brachlianoff : So by tariff, I guess, you mean indexation as opposed to other type of tariffs, I guess. It was just to ensure you because we are not at all impacted by tariffs. Emmanuelle, on the two questions.
Emmanuelle Menning : Yes. Maybe I will start with the current trading. So the short answer is we don't see major change of trends for the beginning of the year. I will start with Water, so regarding Water and it's mainly Water Technology, we don't see any slowdown compared to what we have seen in Q4. That's the first point. Second point is on the Waste business, and if it's okay, I will start with the Hazardous Waste business. You know that we had a very strong Q4 of Hazardous Waste, especially in Europe. We don't see any slowdown in terms of prices and volumes. And in the U.S., it's slightly better than what we had in January 2023 because you may have noticed that we had stable H1 and a strong H2. I will now go to a Solid Waste. In Solid Waste, we don't see major impact of the macro, which is good for us. So in France, no major change. In U.K., we succeed to have commercial waste globally in line with what we had in January 2025 despite a very slight reduction in local customers, and we have a good availability of our facilities. And in Australia, it is also resisting well. So the last point was already mentioned, it's regarding the weather and we discussed it already. So regarding inflation or the impact of tariff provision in 2025. What we see is that we expect, of course, a slowdown of our indexation compared to what we had in 2024 in 2023. For us, it will have no impact on our margin. You have seen the agility that we have -- that we are able to put in place. For instance, in 2024, despite all the external factor that we had, we put in place efficiencies and additional synergies. So for instance, in France, the indexation was 4.5%. We will be closer to 0. It will not be a stop for us to increase our margin through efficiency and specific action plan as we did in 2024.
Estelle Brachlianoff : I think what Emmanuelle mentioned on Waste is very important because if you look at our 2024 results, we always have an impression of Waste linked to macro. There is a part of which, which should be but we are gaining market share and having a very proactive pricing, which means that we enjoyed a plus 6-point-something percent, you have it on the slide show, despite the macro, which was not exactly great. But I think it's a proof that irrespective of the macro, we are making our way.
Operator: Thank you. There are no further questions at this time. Please proceed.
Estelle Brachlianoff : Thank you very much for this session this morning. Very good set of results. Hopefully, a few good surprises from the increase in the synergies target through to the share buyback to compensate for the employee shareholding potential dilution, which is a first the group. And I will end by saying we shall meet at the various events I've highlighted, which I will be very happy to share more details and color on some of the business opportunities we have at Veolia. Thank you very much.